Operator: Good afternoon. Thank you for attending the Paycom Software Second Quarter 2024 Quarterly Results Conference Call. My name is Cameron, and I'll be your moderator for today. All lines will be muted during the presentation portion of the call, with an opportunity for questions-and-answers at the end. I would now like to pass the conference over to your host, James Samford, Head of Investor Relations. You may proceed.
James Samford: Thank you, and welcome to Paycom's earnings conference call for the second quarter of 2024. Certain statements made on this call that are not historical facts, including those related to our future plans, objectives, and expected performance are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements represent our outlook only as of the date of this conference call. While we believe any forward-looking statements made on this call are reasonable, actual results may differ materially because the statements are based on the current expectations and subject to risks and uncertainties. These risks and uncertainties are discussed in our filings with the SEC, including our most recent annual report on Form 10-K. You should refer to and consider these factors when relying on such forward-looking information. Any forward-looking statement made speaks only as of the date on which it is made, and we do not undertake and expressly disclaim any obligation to update or alter our forward-looking statements, whether as a result of new information, future events, or otherwise, except as required by applicable law. Also during today's call, we will refer to certain non-GAAP financial measures, including adjusted EBITDA, non-GAAP net income, and certain adjusted expenses. We use these non-GAAP financial measures to review and assess our performance and for planning purposes. A reconciliation schedule showing GAAP versus non-GAAP results is included in the press release that we issued after the close of the market today and is available on our website at investors.paycom.com. I will now turn the call over to Chad Richison, Paycom's CEO and President. Chad?
Chad Richison: Thanks, James, and thank you to everyone joining our call today. I'll focus my comments on the progress we are making on our 2024 initiatives, and then I'll turn it over to Craig, who will review our financials and guidance before taking questions. This year, we remain focused on providing world-class service to our clients, solidifying client ROI achievement, and deepening our automation capabilities through product innovation. I'm very pleased with the progress we are making on these client focused initiatives as they are resonating across our client base. As a result of our initiatives, our client usage metrics and our net promoter score are up and trending positively. Beyond that, I'm very pleased with our achievements on the product front. We continue to lead the industry in automation. Our clients consistently confirm this view. We continue to eclipse our functionality with even greater automation as we rapidly move towards full solution automation. The enhancements we made to our development processes at the end of 2023 enabled us to transform our solutions even faster. Year-to-date, we have more than doubled our development productivity rates and implemented functionality for our clients that eliminates redundant payroll and HR work through automation and employee usage. We are rapidly eclipsing the industry by delivering a fundamentally differentiated value proposition for our clients, which ultimately results in a better employee experience. We are focused on continuing to automate the most automated solution in the industry. Two examples of automation in our industry are Beti and GONE. Every month, millions of checks are processed directly by employees using Beti, delivering our clients measurable ROI through this truly unique solution. One example is an existing client who has been with us for six years. This is a 2,500 employee company that recently adopted Beti. Since allowing their employees to do their own payroll, they reduced their payroll team by half, going from a process that took roughly four days before Beti to merely hours with Beti. Beti continues to evolve and raise the bar as we add more functionality and connections to solve complex decisioning. And we are seeing increased inbound inquiries from prospective clients. GONE, the industry's first fully automated time-off solution was recently recognized as a global award winner for transforming the time-off process. It connects highly complex traditionally disparate solutions and leverages decisioning logic to automatically approve, deny, or warehouse employee time-off requests. Time-off decisions are a hassle for everyone within an organization unless you use GONE. Thanks to GONE, employees get immediate decisions and managers gain back time and increase scheduling visibility. HR and payroll no longer have to track down managers to verify and decision requests and GONE significantly reduces after the FAC liabilities and related costs. The C-suite benefits from increased confidence in operations and resource management, driving improved productivity and reducing liability. We have a retail client with over 100 stores where each manager's controlled time-off requests differently. The client enabled GONE and built unique rules per store to ensure each manager was in control of their appropriate coverage. Now these managers no longer need to take direct action on request. And when the payroll team is prepping payroll, they've eliminated the need for all follow-ups. Their payroll manager stated, GONE took Beti to the next level. Since implementing GONE, this client has automated over 1,000 time-off decisions, bringing up hours of non-productive time. I'm very excited about GONE and its ability to streamline time-off requests for the businesses across the globe. Through solution automation, we are helping our clients eliminate decision fatigue across the entire organization. From the C-Suite to HR and from managers to employees. This in turn creates better employee retention and engagement for all organizations. We are meeting the expectations of today's employees and once they've experienced Paycom, they don't want to go backwards in technology. In fact, we are seeing more and more returning clients as both user buyers and employees are missing the automation that is lacking in disparate and antiquated competitor solutions they had deployed. At the end of the day, the best product will win and we are furthering our product advantage. We continue to leverage AI across a wide variety of areas within our organization. We believe our AI approach toward full solution automation will continue to deliver even stronger ROI, value, and functionality for our clients. On the international front, we continue to make meaningful progress in the geographies that we rolled out in the last 12 months. Beti is now available for employees in Canada, Mexico, Ireland, and the UK. We continue to win new clients with domestic and foreign employees, thanks to our investments in our global HCM product and our native international payroll. On the sell-side, we are seeing strong momentum. Our new outside sales reps are winning more deals earlier than ever before and we've sold significantly more units in 2024 than we did this same time last year. Just this month, we had our top sales week in company history. Sales is energized and last week, we added our largest sales class of new reps placing 67 sales reps in the field across the country. I'm excited about the enthusiasm across our sales division heading into the back half of the year. To sum up, I'm pleased with the progress we are making with our product strategy and with our strategic initiatives. The investments we are making in 2024 and our focus on client value achievement are designed to deliver long-term value to our clients and their employees, which will in turn deliver value to Paycom and its stockholders. With that, let me turn it over to Craig. Craig?
Craig Boelte: Thanks, Chad. Before I review our second quarter 2024 results and our outlook for the third quarter and full year 2024, I'd like to say a few words about my future plans here at Paycom. I joined this incredible company nearly 19 years ago and had the privilege of shepherding the company from a few million dollars of revenue to one approaching $2 billion in revenues. It has been a career that has surpassed all of my dreams and I want to thank Chad for bringing me in as a partner in this journey. As a new grandfather, it is time for me to prepare for my next chapter and I'm announcing my plan to retire from my role as CFO sometime in the next nine to 12 months. And after that, I expect to remain with Paycom in an advisory role. With that, let's dig into Q2 results by reminding everyone that my comments related to certain financial measures will be on a non-GAAP basis. Second quarter revenue of $438 million came in at the top end of our range and was up 9% over the comparable prior year period. Within total revenues, recurring revenue was $430 million for the second quarter of 2024, representing 98% of total revenues for the quarter and growing 9% from the comparable prior year period. GAAP net income in the quarter was $68 million, or $1.20 per diluted share based on approximately 56.8 million shares. Non-GAAP net income for the second quarter was $92 million or $1.62 per diluted share. Second quarter adjusted EBITDA of nearly $160 million, or 36.5% margin was better than expected, primarily due to expense discipline in the quarter. We continue to aggressively invest in areas of AI, automation, international expansion, and our value proposition for the client. Adjusted R&D expense was $55 million in the second quarter of 2024, or 14% of total revenues. Adjusted total R&D costs, including the capitalized portion were $81 million in the second quarter of 2024 compared to $61 million in the prior year period. We are building more automation on the most automated platform in the industry, which should continue to distance us from the rest of the competition. For Q3 and full year 2024, we anticipate our effective income tax rates to be approximately 28% and 23% respectively on a GAAP basis. We estimate Q3 and full year 2024 non-GAAP effective tax rate to be 26%. For the remainder of 2024, we expect stock-based compensation expense to be approximately $30 million per quarter. Turning to the balance sheet. We ended the second quarter with a very strong balance sheet, including cash and cash equivalents of $346 million and no debt. The average daily balance of funds held on behalf of clients was approximately $2.4 billion in the second quarter of 2024, up 8% year-over-year. During the second quarter and into July, the valuation of our stock dropped below that of slower growth and lower margin peers. We opportunistically took advantage of the low stock price to repurchase approximately 790,000 shares between April 1 and July 31 for $120 million. Since July 1 of last year, we have repurchased approximately 2.3 million shares, representing approximately 4% of total shares outstanding. Nearly 2 million of that has been repurchased since November of last year. Earlier this week, we increased our buyback authorization to $1.5 billion and extended it for another two year period. We will continue to be opportunistic buyers of our stock if and when we see dislocations in valuation relative to our peers. During the second quarter of 2024, we paid over $21 million in cash dividends and earlier this week, the Board approved our next quarterly dividend of $0.375 per share payable in mid-September. Now, let me turn to guidance. We continue to execute on several strategic initiatives and remain on plan to achieve the 10% growth and 39% adjusted EBITDA margin that we guided to at the beginning of this year. For fiscal 2024, now that we have more visibility into the remainder of the year, we are narrowing our revenue guidance range with revenue expected to be in the range of $1,860 million to $1,875 million or approximately 10% year-over-year growth at the midpoint of the range. We are raising our expected adjusted EBITDA range to $727 million to $737 million, representing an adjusted EBITDA margin of approximately 39% at the midpoint of the range. For the third quarter of 2024, we expect total revenues in the range of $444 million to $449 million, representing a growth rate over the comparable prior year period of approximately 10% at the midpoint of the range. We expect adjusted EBITDA for the third quarter in the range of $155 million to $159 million, representing an adjusted EBITDA margin of approximately 35% at the midpoint of the range. We have a strong balance sheet, strong free cash flow, and significant liquidity. We will continue to invest in areas that will bolster our competitive position and strengthen our client ROI through automation and the user experience. With that, we will open the line for questions. Operator?
Operator: Thank you. We will now begin the Q&A session. [Operator Instructions] The first question is from the line of Raimo Lenschow with Barclays. You may proceed.
Raimo Lenschow: Hey, thank you. And Craig, all the best. Well, I guess we still have a few quarters. My question is around Beti. Chad, in your prepared remarks, you talked about increased inbound like, can you talk a little bit about the perception that Beti now has in your installed base and I'm thinking about the whole installed base and how it's turning into like a sales tool as the industry is understanding the benefit of that for its own business, but also for the employee base? Thank you.
Chad Richison: Sure. And so new clients, and everyone by the way, everybody does get a question and a follow-up. He didn't necessarily state that on the call, but Raimo, what's happening with new clients coming in, that's why they're coming in to use it. I mean, they're coming to Paycom to actually utilize Beti. I did talk about a client on the call who had been with us for six years. They have 2,500 employees, they implemented Beti and they were able to reduce their payroll department by half and it went from four days for them working on payroll to mere hours. And so within our client base, we continue to meet clients where they are today as we work our client value achievement strategy to help them maximize the most ROI with where they are today. And then as far as new clients coming on, it's been no change. I did talk about on the call how we've had more unit sales this year than what we have in the past. And so our sales staff is doing really good in our go-to-market as well.
Raimo Lenschow: Okay. Perfect. And if I -- now that I'm allowed to follow up like may I squeeze one in? You talked about the sales reps that were added this quarter like a record number. How do you think about that cadence on the hiring side, especially on sales? If you think about what you're seeing in your installed base and you think about the economy, like how do you think that will progress? Thank you and congrats from me.
Chad Richison: Yeah. So we're better staffed in sales than what we've been in probably five or six years. And what I mean by that is having all teams with the sales manager in it fully staffed and then just the number of staff that we have on each. And so, Amy Walker took over sales and had been with us for 14 years prior to that. She took over sales in April and since that time has really got them in a position, us in a position on the sell-side where we're strong from a staffing perspective and again, our sales tactics and techniques to be able to go out there and even sell more as we're differentiated in the industry.
Operator: The next question is from the line of Samad Samana with Jefferies. You may proceed.
Samad Samana: All right. Thank you. And Craig, congrats on becoming a new grandfather, it's exciting news.
Craig Boelte: Thank you.
Samad Samana: So maybe I'll start with you or for either one of you, but just as I think about the narrowing of the guidance outlook, what assumptions changed or what did you experience and what are you tweaking to get to that new narrow range? Is it a change in new business assumptions? Is it a change in CRR bookings retention? Just help us understand the mechanics of the change going forward, especially considering that 2Q came in a little bit better than you expected.
Craig Boelte: Yeah. I mean as we came into the year, I mean our plan had a wide range of initiatives and opportunities. And the high range had assumptions depending on some timing and the magnitude of some of those initiatives. So some of it was timing and now that we have more visibility during the year and it's progressed, we're going to narrow that range.
Samad Samana: Understood. And then maybe, Chad, if I could follow up on Raimo's question about the sales hiring and you talked about capacity. Should we think about that as maybe a leading indicator, the hiring that you just did in terms of what you're seeing in the market, either opportunity increasing and new hiring behind that, or is this hiring in anticipation of? Just maybe help us understand what type of signal that suggests, especially because we haven't really gotten an update on office opening disclosures in a while and this seems like a pretty important development.
Chad Richison: Yeah. I mean I would say that I've always felt like we've had the best sales organization. I think having the best products part of that. We focus very hard on sales this year. We were very focused on it and what we wanted to accomplish with it. And being fully staffed does allow us to get to the opportunity to be able to open up offices, again, when it's right for us. Right now, we're really focused on unit growth and sales skills development. In second quarter, we sold 24% more units than what we had sold second quarter of the previous year. That's but one data point that Amy just took over in April. So that's helping. And being staffed really helps with that. The more people that you're staffed with, the more you're going to sell. And so we're having a lot of success right now with the sales group and staffing is a big part of that.
Operator: The next question is from the line of Mark Marcon with Baird. You may proceed.
Mark Marcon: Hey. Good afternoon, and thanks for taking my questions. And let me add my congrats, Craig, that's huge in terms of being a grandpa. Not really.
Craig Boelte: Thank you.
Mark Marcon: So I wanted to ask a little bit about some of the investments that you're making, Chad. Can you talk a little bit about, the investments behind service as well as R&D. And specifically, I'm looking at the gross margins and trying to think through. You've ramped up the investments. It sounds like the NPS scores are going up as a result. How should we think about the further pace of the investments both in terms of cost of service as well as R&D and how that's going to unfold over the course of the year? And then I've got a follow-up.
Chad Richison: Yeah, Mark. I'll take the gross margin part of that question. One thing on the gross margins, like you mentioned, is a headcount. But this quarter, we brought our fifth building at Corporate Online. And so we saw an increase in the depreciation both on the building and on the equipment and furniture and fixtures as it related to that building. So part of that gross margin was the additional depreciation, which also hit other lines of depreciation in the income statement.
Craig Boelte: And I'll kind of add on to that. I mean, from a hiring perspective in operations, I mean we're hiring. So we're open for business. We're hiring there. And again, we only have 5% of the market. We have a differentiated product. We're focused on our sales methods. We're focused on our service and of course, heavily, heavily focused on product, which leads to our R&D expense. I know that, that jumped up in there in the second quarter, but that's because we're putting out a lot of product. As I said on the call, we've put out twice as much a product release of this past month than we did in January. And January was also a good month for product releases. And so, we sell our product. I mean, our products where all our values derived from our clients. And so it's just very important that we're always focusing on that. We have very ambitious goals in regard to our product as well. And so -- but we're also mindful of our spend and we're mindful of having quality revenue that generates a strong bottom line. And so all that's included when we go through this for what we're going to budget and spend.
Mark Marcon: Great. And then it sounds like, I mean, with a 24% increase in terms of units sold so far year-to-date, is that part of the reason why we would anticipate seeing an acceleration with regards to the revenue growth in Q3 relative to Q2? Just wondering how baked in is that as opposed to hoping for additional incremental sales from the new salespeople.
Chad Richison: Sure. So let me correct one thing, 24% is the unit growth for the second quarter over prior second quarter. Year-to-date, we're about 15% in unit growth, I was just making the point since Amy has taken over. Now I will say, so far for third quarter starts, July starts, which are always the largest of a quarter. Your first quarter month is the largest revenue of any quarter. Our July starts are up 40% from a revenue perspective. And so again, these are about one data point, but it's from where we're starting. And we get to start with the best product, we get to start with the best sales training and we get to start with the best service model. And so for us, it's a continuation of work in our 2024 plan into next year.
Operator: The next question is from the line of Joshua Reilly with Needham. You may proceed.
Joshua Reilly: Yeah. Thanks for taking my question. Just wanted to understand better with the better new customer activity, but the lower -- the high-end of the guidance is slightly lower. How should we think about the impact from the payment -- the extra run for payroll runs revenue coming out of the model? Has that been in line with your expectations? I just wanted to understand if there's any other impact to the high-end of the guidance. Thank you.
Chad Richison: Yeah. I would say all of the current client factors that we discussed even at the end of 2023, those still exist today as far as additional payroll run opportunities and inefficiencies gained when someone uses our product correctly. And so all those factors continue to exist, but we also have many mitigating factors that we're able to guess and pull the levers on. And again, we have a lot of confidence in what's going on with both our sales organization, our service organization and of course, our product with what gives us confidence as we head into the end of this year and then as well as 2025.
Joshua Reilly: Got it. And then last quarter, you discussed getting better utilization of modules that have already been sold to customers. Any update there in terms of getting customers to maybe utilize the modules that have already been sold at a faster pace than what was -- we've seen over the last year? Thank you.
Chad Richison: And so yes, anytime we focus on something, we're going to have some results from that. We've been focused all year on the client value achievement strategy, which does include meeting clients where they are and helping them achieve that ROI. It's impacting our service model from a positive and it's impacting our net promoter scores. And those are commitments that we're not going to be backing off of.
Operator: The next question is from the line of Steven Enders with Citi. You may proceed.
Steven Enders: Hey, great. Thanks for taking the question there. I guess maybe just kind of pull it on the last couple of lines of questioning. Just how is kind of the back to base motion kind of trending? And I guess on the back of what sounds like solid new units coming on board. Just how are you feeling about that back to base motion and kind of what that's implying for the growth outlook versus what you were expecting before?
Chad Richison: Yeah. My opinions on that haven't really changed. I mean, it's very important for us to meet each client where they're at and make sure that they're utilizing the product to get the full value of it. And we're still very focused on that. I mean, you look throughout the history of Paycom, we sold a lot of product and it's very important that clients are utilizing it the right way to get ROI out of it. There's a lot of things we're also working on in product and developing and releasing that also helps with that. And so, it's not like we've abandoned working with clients to be able to help them purchase new modules from us that can help them drive that ROI. But we have changed the game a little bit in making sure that we're doing our part to make sure that clients are achieving the level of ROI needed for their satisfaction. And so that really hasn't changed for us as far as what we're doing throughout 2024 and what we're focused on here.
Steven Enders: Okay. That's helpful. And then I guess maybe is there an update on kind of a Beti penetration or adoption so far from versus the last disclosure?
Chad Richison: Yeah. It continues to go up every month. I mean, we're adding -- again, we're adding more and more clients in each client that starts, they're starting with greater Beti usage than we have in the past. And so -- and those that are using it and have been using it, it continues to go up. And so with good technology that's easy to use, usage continues to move forward. Of course, we do have a percent of our client base still that may not be receiving the full benefit that it may have to offer at this point just because it's not the right time for them or what have you or it doesn't fit specifically with their initiatives. And so those clients were meeting them where they live. And sometimes they do come on. Again, I talked on the call about a 2,500-employee company that finally said yes, it did reduce their labor cost in regards to working the payroll system by half and they went from four days of working on payroll to merely hours. So that's available to everyone out there. But again, we're servicing clients where they are right now today and that's what we're focused on. And we'll move forward with clients on their timeline, not ours. And then when it comes to new prospects coming in, we want them to receive the full value that we have to offer so that they can achieve that ROI, which is available only through Beti for new clients.
Operator: The next question is from the line of Kevin McVeigh with UBS. You may proceed.
Kevin McVeigh: Great. Thanks so much. [Technical Difficulty]
Chad Richison: [Technical Difficulty] database count from that perspective. So -- and we're furthering Beti as well. I mean, Beti is not the same product it was at the first of the year than what it is today. And so we're continuing to advance all of our solution with automation.
Kevin McVeigh: Great. And then with the extended buyback, is there any way to think about the approach around that? Just relative to there's been some obviously variability over the last year or so, just any thoughts moving forward as to pace or progression of the buyback?
Craig E. Boelte: Yeah. No, I mean, as we mentioned on the call, I mean, we bought back a significant amount of shares and we actually bought back 574,000 just during Q3 in a large amount since July 1st. So really an opportunistic approach to the buyback. And we were -- the other one was about to expire, so we put this one in-place for another two years at $1.5 billion.
Kevin McVeigh: Thank you.
Operator: The next question is from the line of Siti Panigrahi with Mizuho. You may proceed.
Phillip Leytes: Hi. This is Phil on for Siti. You guys mentioned you added Beti in Canada, Mexico, Ireland, and the UK. Are there plans to add Beti to other countries?
Chad Richison: Yes. As we develop them and as you know, certain countries have certain factors that go into their unemployment law. So -- but as we develop these countries, absolutely, we would expect that to be happening.
Phillip Leytes: Well, thank you.
Operator: The next question is from the line of Jason Celino with KeyBanc Capital Markets. You may proceed.
Zane Meehan: Great. Thanks. This is Zane Meehan on for Jason Celino. Just one from me on the uptick in the EBITDA margin guide, nice to see that moving up by 50 bps. Just wanted to ask what's driving that increase and where you might be getting more efficient in the next or in the second half of the year? Thanks.
Craig Boelte: Yeah. I mean, we kind of look across the entire organization and just look for efficiencies. I mean there's no levers we're really trying to pull to do that. And really it was the second-quarter be really flowing through to the full year and then raising it on top of that. So really nothing that we're pulling any levers for.
Zane Meehan: Great. Thank you.
Operator: The next question is from the line of Alex Zukin with Wolfe Research. You may proceed.
Ryan Krieger: Hey, guys. This is Ryan on for Alex Zukin. Just one question on the CRR teams. So can you just provide an update on where the CRR teams were focused in the quarter? Are you still structuring commissions towards Beti conversions of the base and system usage or are they starting to lean more back into the upsell, cross-sell motions? And to the extent that they are still focused on the Beti conversions, when could we see them kind of shift back to the upsell, cross sell focus?
Chad Richison: Yeah. I mean for competitive reasons, I mean, I'm not going to get into exactly what a CRR's process is today that's different than what it was last year. But I will say that, to a CRR, they work with each client, and not every client is in the same situation, which means a CRR's approach isn't the same as they go into their entire territory, if you will. And so it really depends on if I'm working with the client that has not yet gone through the client value achievement strategy fully or if I'm working with the client that has. And so that's not to say that they can't provide opportunity and additional -- that they don't have additional revenue opportunities with each client. It's just there's certain methods, that we go through today to ensure that clients are achieving that before we just sell them. So -- and I wouldn't say that's a dramatic change from any other quarter, we've had this year.
Ryan Krieger: Great. Thank you.
Operator: The next question is from the line of Bhavin Shah with Deutsche Bank. You may proceed.
Bhavin Shah: Great. Thanks for taking my question. Just first for Craig. Just you mentioned bringing the fifth building online during the quarter. Any changes to thinking in terms of CapEx for the year? Is 12% of revenue still the right range to think about? And any of those builds that are planned in the near-future that at the tip of your mind?
Craig Boelte: Yeah. I mentioned that we just finished the last building. We've got a couple more projects throughout the end-of-the year. So kind of as we talked earlier, what we thought the percent would be for the year somewhere in that 11% to 12%, probably still thinking that. As we look at next year, we really don't have any large projects on the plan. So we mentioned even on the last call, that we would expect CapEx to be potentially single-digits next year as a percent of revenue and that really bodes well for the free-cash flow conversion, which we're also focused on.
Bhavin Shah: That makes sense. And just quickly following-up. It appears that Paycom is now partnering with an employment verification service. Can you just maybe elaborate on what this partnership can bring to Paycom from a financial perspective for this year and maybe also a business perspective, how are you guys thinking about partnership opportunities more broadly?
Chad Richison: I mean, I wouldn't say we think much of it. I mean any opportunities I think that are in regards to data type things are not necessarily strategic in nature from that standpoint and not necessarily differentiated from -- so from my standpoint, I think that if there's something we can provide our clients that helps them have a better experience with Paycom, that's what we want to look at and focus on and most things would fall in-line with that.
Operator: The next question is from the line of Daniel Jester with BMO. You may proceed.
Daniel Jester: Yeah. Great. Good evening, everyone. Thanks for taking my question. Maybe, Chad, on you think about the product roadmap and the focus on automation, should we be expecting sort of more specific modules to help drive that outcome for your customers? Are you going to be reengineering things that you've already put out there to increase the level of automation? sort of any sort of high-level thoughts about the direction you're embarking on here?
Chad Richison: Sure. And so I guess we focus on problems to solve and what we want to automate. That's where we start regardless of whether or not that's in our current system of innovation or whether or not that's something new that we add. And so we start with what problem are we solving. And so when you're looking at automation, it's across the entire suite. But it will include additional module opportunities, but those develop as you -- as you're doing the right thing and then you're at the end of your process, you're able to discover the ROI for each and see if there is a revenue opportunity for that. We don't start with the revenue opportunity. We start with automating problems for our clients and solving problems. And sometimes we get to share in those problems we solve through additional revenue opportunities.
Daniel Jester: Okay. Thank you. And then just on the four international geographies everybody is available now, have you sold any locally domiciled clients or is it still US centric clients that have employees abroad? Thank you.
Chad Richison: Now you asking if we've sold a client that has zero U.S. employees and they're just in the country with zero domestic employees? Is that your question? You may have fallen off. I'm going to answer that question and assume it was. For sure, Canada, I believe, we could have clients that just had that. That was our first one released. I would be surprised at this point if we have a client just in Mexico or the UK or Ireland that doesn't have a U.S. base connection. But I would expect in Canada, we would have some of the talent.
Operator: The next question is from the line of Jake Roberge with William Blair. You may proceed.
Jake Roberge: Yeah. Thanks for taking the question. Just wanted to follow-up on that global payroll front. I'm curious what you're seeing on the demand front for geos like Canada that have been in the market for a bit longer and just how long it takes for new geos to start ramping more meaningfully?
Chad Richison: Yeah. I mean, having native payroll in any -- Canada was the very first time we actually ever developed a separate country. We were U.S. for 25 years. And so we learned a lot in Canada. And then we learned a lot more in Mexico and the UK and a lot of the developments we were able to do for a lot of those companies or countries, some of them were transferable, some of the items. And so we've learned a lot by going through this process. Also, we very much strengthened our global HCM product. I mean, it's not just native payroll. We have a very strong global HCM product that we continue to automate as well. And so all of that ties together to make a strong value proposition.
Jake Roberge: Okay. That's helpful. And then when we think about the revenue cannibalization of those payroll reruns, when do we officially lap those tougher comps? Is that something that will still be a bigger headwind heading into next year or could that actually be much less pronounced given it will be a smaller base as we've kind of gotten through that this year? Thanks.
Chad Richison: Yeah. I mean, again, the factors that we talked about that were impacting us at the end of the year are the same factors that impact us today. When you're talking about how fast or what have you. We also have mitigating factors that factor into that as well. But when you're talking about what happens there, you're really talking about how fast is our client base going to utilize the most efficient product in the industry and then utilize it the right way. And so, we've kind of quantified the expectation of the opportunity that could be cannibalized from good usage, but it's also differentiation. And I think we get that back in other areas. So all that's to say is, when will we be through that type of thing, I don't know, but I do think that there's mitigating factors that we're able to deploy. Again, to achieve client value, to help the client achieve value that they're helping us there as well.
Operator: The next question is from the line of Jared Levine with TD Cowen. You may proceed.
Jared Levine: Thank you. In terms of float revenue, can you discuss what the updated annual guide is embedding surrounding float revenue, including Fed fund rate assumptions? And was there any extending of duration during the quarter or plan for the rest of the year here?
Craig Boelte: Yeah. I mean, we're definitely looking at extending the duration as we're talking about some rate cuts the back half of the year. So as you're looking at the full year, we start to kind of factor in some of those potential rate cuts that seem more certain at this point. And then as you start to layer in and extend duration, you're basically on that amount of money, you're basically taking a rate cut because it's going to be lower than the short-term rate that you could get on that. So yes, we're definitely looking at that.
Jared Levine: Okay. So considering it, but that's not currently in motion right now. And then in terms of the sales performance, can you discuss how specifically within the inside sales, how you're doing in terms of those sub-50 employee clients, just given the notable new logo acceleration?
Chad Richison: Yeah. I mean the logo acceleration is going to be our mid-market group to 50 and above. The below 50 represents approximately 4% or less of our overall revenue and that hasn't been going up as a percentage.
Jared Levine: Sure. Thank you.
Operator: The next question is from the line of Zachary Gunn with FT Partners. You may proceed.
Zachary Gunn: Hey, there. Thanks for taking my question. I just wanted to ask in terms of new client wins, has there been any change from a mix perspective of where you're seeing those wins come from, whether it's competitive takeaways or in-house or regional? Just any context there on the competitive side.
Chad Richison: No. I mean, we've been in a very competitive industry for 26 years. This is our 26th year. Arguably, we're the new guys from specifically who we really compete with. And so it's the usual suspects that we continue to compete against and with when we're out there in the market.
Zachary Gunn: Got it. Thanks.
Operator: There are no further questions waiting at this time. I would like to pass the conference back over to Chad Richison for closing remarks.
Chad Richison: All right. I want to thank everyone for joining our call today. I want to personally thank my colleague and friend Craig for his dedication to Paycom and the amazing example he has set for brilliant careers. Our employees are working hard and strategically across the board. I want to thank all of our employees for their effort toward our plans to eclipse the industry with automation. We look forward to seeing investors at several conferences this quarter, including the Deutsche Bank Technology or the Deutsche Bank Technology Conference in Dana Point in August and the Citi Global Technology Conference in New York -- New York City in September. Thank you, all, and operator, you may disconnect the call.
Operator: Thank you. That concludes the Paycom Software second quarter 2024 quarterly results conference call. Thank you for your participation and enjoy the rest of your day.